Operator: Greetings. Welcome to the Installed Building Products Fiscal 2021 Third Quarter Financial Results Conference Call.  Please note this conference is being recorded. I will now turn the conference over to your host, Jason Niswonger. You may begin.
Jason Niswonger: Good morning, and welcome to Installed Building Products’ Third Quarter 2021 Conference Call. Earlier today, we issued a press release on our financial results for the third quarter, which can be found in the Investor Relations section of our website. On today’s call, management’s prepared remarks and answers to your questions may contain forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements about future expectations, anticipation, beliefs, estimates, forecasts, plans and prospects. These forward-looking statements are based on management’s current expectations and involve risks and uncertainties. Any forward-looking statement made by management during this call is not a guarantee of future performance, and actual results may differ materially as a result of various factors, including, without limitation, the adverse impact of the COVID-19 crisis, general economic and industry conditions, the material price and supply environment, the timing of increases in our selling prices and the factors discussed in the Risk Factors section of the company’s annual report on Form 10-K, as may be updated from time to time in our SEC filings. Any forward-looking statements speak only as of the date hereof. The company undertakes no duty or obligation to update any forward-looking statements as a result of new information or future events, except as required by federal securities laws. In addition, management uses certain non-GAAP performance measures on this call, such as adjusted EBITDA, adjusted EBITDA margin, adjusted net income and adjusted net income per diluted share, adjusted gross profit, adjusted gross profit margin and adjusted selling and administrative expense. You can find a reconciliation of such measures to their nearest GAAP equivalent in the company’s earnings release and additional reconciliation for adjusted EBITDA for earlier fiscal years in our investor presentation, which are available on our website. This morning’s conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; and Michael Miller, our Chief Financial Officer. I will now turn the call over to Jeff.
Jeff Edwards: Thanks, Jason, and good morning to everyone joining us on today’s call. As usual, I will start the call with some highlights on the quarter and then turn the call over to Michael Miller, IBP’s CFO, and who will discuss our financial results and capital position in more detail before we take your questions. I’m proud to report another quarter of record revenues and strong profitability as our team members remain focused on serving our customers and strategically growing our business. During the third quarter, we experienced double-digit year-over-year sales growth across our single-family, multifamily and commercial end markets, reflecting robust demand for our installation services, the benefit of recent price increases and the contribution of acquired residential and commercial revenue. Third quarter sales increased 21.2% from the third quarter of 2020. Price/mix increased 7.2%, which is the highest increase we have experienced in 6 quarters. This not only reflects the underlying demand for our installation services but also the hard work of our local branches to keep our pricing aligned with the value we offer our customers. On a same branch basis, volume growth increased nearly 5% from the prior year, demonstrating the high demand we are experiencing for our installation services across our end markets. Importantly, we achieved record third quarter profitability as GAAP net income increased 24% to $1.18 per diluted share and our adjusted EBITDA increased 18% to a quarterly record of $78.1 million. We continue to attract, develop and retain strong team members as a result of the entrepreneurial and empowering culture we have created, and I am proud to report labor trends remain extremely strong across IBP’s platform. To everyone at the company, thank you for your continued contributions and dedication to IBP. In addition, I am proud to announce that we issued our inaugural environmental, social and governance report on October 18. Our primary insulation installation services are a critical component to improve energy efficiency in residential and commercial structures. Within our report, we’ve highlighted the environmental benefits of insulation as well as our internal initiatives on topics such as health and safety, greenhouse gas emissions and diversity, equity and inclusion. We are dedicated to doing our part to improve the world around us by implementing critical ESG initiatives. As our ESG program expands, I am excited by the opportunities we have to create additional value for our employees, communities, customers, vendors and shareholders. In the third quarter, we continued to navigate several unique dynamics that exist across our markets. As expected, the supply chain for many of the building products and materials we install remain constrained during the third quarter. We anticipate that supply chain challenges will continue for the foreseeable future but our asset-light business model enables us to remain flexible and generate strong cash flow in spite of continued disruptions. In addition, we continue to benefit from our national scale, material buying advantage and strategic plans aimed at diversifying and expanding our products, end markets and geographic presence. Overall, trends throughout the U.S. housing industry remain robust. We believe the recent decline in residential completions is attributable to increased cycle times rather than softening market demand. As according to the U.S. Census Bureau housing data, the backlog in units authorized but not started is up 42% from the end of last year, and units under construction continue to remain near cycle highs. During the third quarter of 2021, total residential completions decreased by 1.9% year-over-year as a 2% increase in single-family completions was offset by a 12.1% decrease in multifamily completions. Single-family housing demand continues to benefit from low mortgage rates and favorable demographics that have driven an increase in demand for entry-level housing. We believe these trends will continue supporting further growth as the industry approaches stabilization in the years to come. Our same-branch volume growth increased by nearly 5% during the 2021 third quarter, demonstrating strong demand across our core single-family end markets. Notably, price/mix trends have improved sequentially throughout 2021. And for the third quarter, price/mix increased 7.2% over the prior year period. Continued realization of higher selling price increases combined with comparable mix of revenue relative to the prior year contributed to the positive price/mix trend in the quarter. Turning to our multifamily end market, demand also remains strong within this segment of the housing industry and across many of our markets. As a result, our multifamily sales grew 18.2% during the 2021 third quarter, including a 10.9% increase on a same branch basis. Our commercial markets continue to be impacted by COVID-19 pandemic, less consistent material availability relative to pre-pandemic periods and supply chain disruptions. Our commercial end market sales increase of 16.3% for the third quarter was driven by recent acquisitions as same-branch sales declined 5.6%. Large commercial same-branch sales decreased modestly by 1.1% on a year-over-year basis as a result of timing related to the completion of projects in our large commercial backlog of business. Bidding activity remains strong and project bid acceptance continues to improve, which we believe supports the continued improvement in this end market. The large commercial construction market continues to represent a significant long-term growth opportunity for IBP and we remain focused on improving our operational efficiency while expanding our exposure within compelling commercial markets across the U.S. Looking at our acquisition strategy in more detail. We continue to prioritize profitable growth through acquiring well-run installers of insulation and complementary building products. I’m pleased to report that as of today’s call, we have completed 9 acquisitions, representing over $130 million of annual revenues surpassing our $100 million of acquired revenue target for this year. During the 2021 third quarter, we acquired a Utah-based installer of fiberglass and garage doors for residential and multifamily customers with annual revenue of approximately $25 million. We also acquired a Pennsylvania-based installer of insulation and gutter services to residential and commercial customers with annual revenue of approximately $4 million during the quarter. Since the third quarter ended, we have announced 2 additional acquisitions, an Oregon-based installer of insulation, gutters, windows and siding; and a Texas-based installer of glass, mirrors and related products. Our acquisition pipeline remains robust, and we expect to be active through the end of the year. With less than 2 months left in 2021, we remain encouraged by our strong year-to-date performance and compelling outlook. According to the U.S. Census Bureau, housing starts are up almost 20% this year, which we believe supports continued demand for our installed services. We anticipate the supply chain for many of our products will be constrained for the remainder of the year and into 2022. In addition, materials needed for spray foam applications continue to be in short supply after chemical processing facilities went off-line during the February 2021 winter storms and additional supply chain challenges impacted certain suppliers throughout the year. The supply chain issues were compounded by high demand for spray foam components in other industries. As many of you know, insulation manufacturers, including large fiberglass suppliers announced price increases that went into effect throughout the summer and as recently as September of this year. Additional fiberglass price increases are set to take effect in December and into the beginning of next year. With access to labor, strong position with our customers and suppliers, a healthy housing industry demand dynamics, we believe we are well positioned to navigate the current inflationary environment better than any other period in our history. It is also important to note that although prices have been rising, insulation represents a small portion of the total cost to build a home, which we believe allows us greater flexibility to maintain margins by prudently increasing prices with our customers. I’m pleased with our third quarter and year-to-date performance as our team continues to work tirelessly to respond to customer needs and support the growth of our business. As we enter the fourth quarter, we believe 2021 will be another record year for IBP, and I’m excited by the opportunities ahead in 2022. So with this overview, I’d like to turn the call over to Michael to provide more detail on our third quarter results.
Michael Miller: Thank you, Jeff, and good morning, everyone. Net sales for the third quarter increased to a quarterly record of $509.8 million, compared to $420.5 million for the same period last year. The $89.3 million or 21.2% year-over-year improvement in sales during the quarter was mainly driven by an increase in price/mix, higher volume of customer jobs completed, growth in other complementary products and the revenue contribution from recent acquisitions. On a same branch basis, net revenue improved 11.2% from the prior year quarter driven by single-family same-brand sales growth of 15.2%. Multifamily same brand sales growth increased 10.9%, which resulted in a combined total residential same-branch sales growth of 14.5%. This result outpaced total U.S. housing completions, which declined by 1.9% during the third quarter. However, the pandemic’s lingering effects continue to impact our commercial end market. Same-branch commercial sales decreased 5.6% in the 2021 third quarter. Large commercial same-brand sales continued to improve sequentially, declining by 1.1% in the quarter, while multifamily high-rise projects helped total same-branch growth in our large commercial branches increased by 7.2%. Adjusted gross profit margin declined 70 basis points to 30.7%, compared to 31.4% for the same period of last year, primarily due to inflationary pressure and supply shortages. We estimate that overall material inflation in the third quarter of 2021 was in the low double digits and material supply shortages had an impact of approximately $2 million on gross profit during the quarter. The impact from just the supply shortages reduced adjusted gross profit margin by approximately 40 basis points. Administrative expenses as a percent of third quarter sales were 13.4%, a 50 basis point improvement from the prior year period. Adjusted SG&A as a percent of third quarter sales also improved 50 basis points from the prior year period. The year-over-year improvements in SG&A expense relative to sales during the third quarter reflects our ability to leverage administrative costs during strong volume growth periods. On a GAAP basis, our third quarter net income increased 24.3% from the prior year quarter to $34.9 million or $1.18 per diluted share. Our adjusted net income improved 22.6% to $44 million or $1.49 per diluted share, compared to $35.9 million or $1.21 per diluted share in the prior year quarter. We estimate the material supply shortages impact earnings per share by approximately $0.05 per diluted share. During the third quarter of 2021, the acquisition of new businesses drove an increase in our recorded amortization expense to $9.2 million, compared to $7 million for the same period last year. This noncash adjustment impacts net income, which is why we continue to believe that adjusted EBITDA is the most useful measure of profitability. Based on the acquisitions completed year-to-date, we expect fourth quarter 2021 amortization expense of approximately $9.5 million and full year 2021 expense of approximately $36.3 million. This figure will change with any acquisitions we closed in future periods. Adjusted EBITDA for the third quarter of 2021 improved to a quarterly record of $78.1 million, representing an increase of 18% from $66.2 million in the prior year. Adjusted EBITDA as a percent of net revenue was 15.3% for the 2021 third quarter, compared to 15.7% for the same period last year. Same-branch incremental adjusted EBITDA margin was 13.2% for the third quarter. Similar to the impact on gross profit, we estimate that material supply shortages during the quarter impacted adjusted EBITDA by approximately $2 million, reducing our adjusted EBITDA margin by approximately 40 basis points. For the 2021 third quarter, our effective tax rate was approximately 26.1% and we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31, 2021. Now let’s look at our liquidity, balance sheet and capital requirements in more detail. Our business model continues to generate strong operating cash flow. For the 9 months ended September 30, 2021, we have generated $116.5 million in cash flow from operations, compared to $143.9 million in the prior year period. This year-over-year decline in operating cash flow was primarily associated with elevated working capital requirements needed to support robust year-over-year sales growth in a highly inflationary environment. At September 30, 2021, we had $196.7 million in working capital, excluding cash and cash equivalents, while capital expenditures and total incurred finance leases for the 9 months ending September 30, 2021, were $27.9 million, while total incurred finance leases were $1.9 million. Capital expenditures and finance capital leases as a percent of revenue were 2.1% for the 9 months ending September 30, 2021, compared to 2.2% for the 9 months ending September 30, 2020. At September 30, 2021, we had total cash and short-term investments of $191.4 million, compared to $231.5 million at December 31, 2020. Total debt at September 31, 2021, was $571.9 million, compared to $569.9 million at December 31, 2020, and $573.4 million at September 30, 2020. Our net total debt was approximately $380.5 million at September 30, 2021, compared to $338.4 million at December 31, 2020, and $304.8 million at September 30, 2020. At September 30, 2021, we had a net debt to adjusted trailing 12-month EBITDA leverage ratio of 1.4x, well below our stated expectation of a leverage ratio of less than 2x. We continue to prioritize profitable growth through our proven strategy of acquiring well-run installers of insulation and complementary building products. For the 9 months ended September 30, 2021, we have invested over $95 million in acquisitions compared to operating cash flow of $116.5 million. We also continue to return capital to shareholders. And today, we announced that IBP’s Board of Directors approved our fourth quarter dividend of $0.30 per share, which is payable on December 31, 2021, to stockholders of record on December 15, 2021. Year-to-date, the company has not repurchased any shares of its common stock, compared to $15.8 million of shares repurchased during the same period last year. $100 million of availability remains under our current share repurchase program, which expires March 1, 2022, unless extended by our Board of Directors. We continue to believe we have considerable financial flexibility supported by a strong cash position and limited financial covenants. In addition, with no significant debt maturities until 2025 and strong liquidity, we have considerable financial resources to invest in our long-term growth opportunities. With that, I will now turn the call back to Jeff for closing remarks.
Jeff Edwards: Thanks, Michael. I’d like to conclude our prepared remarks by once again thanking IBP employees for their hard work, dedication and commitment to our company during this very challenging period. Our success over the years and more recently is made possible because of you. Operator, let’s open up the call for questions.
Operator:  And our first question is from Mike Rehaut with JP Morgan.
Mike Rehaut: First question, I’d love to dig in a little bit on the gross margins and price mix dynamics that you’re seeing currently. Obviously, on the price mix side, you finally turned positive. Actually, I think you kind of were a little ahead of what we were expecting. So very strong improvement there. At the same time, the gross margins are still down year-over-year. And obviously, you highlighted some of the challenges in material purchases. What’s interesting is that the year-over-year gross margin decline narrowed from the second quarter and also the headwind from the retail purchases also narrowed but still down. And so I was hoping if you could just kind of delve into some of the drivers of those dynamics. I know you’ve mentioned that a mix shift to production builders has been a drag year-over-year, if perhaps you can update or kind of quantify even what that drag is? And how should we think about those dynamics as you’re starting to lap the year-over-year and we’re approaching the fourth quarter?
Michael Miller: Mike, this is Michael Miller. So there’s a lot to unpack from that question. But primarily, what I would say is that, yes, the price/mix trends continue to go well. They’re continuing to going well into the fourth quarter. Clearly, the challenges that we had relative to gross margin in the quarter were really all around, quite frankly, material inflation. And to some extent, a little bit of mix shift to the production builders as well as some of the other products. But the mixed headwind associated with the shift to the production builders and the other products was much less this quarter than it has been, particularly in the beginning or the first half of this year. And I would say that it’s really our -- we feel that we’re -- the strength that we’re starting to see on the price/mix side, as we exit the quarter, going into the fourth quarter, we feel very constructive about. But there’s no doubt that the supply disruptions, material inflation have been very significant. A lot of companies have talked about it. The other thing that impacted gross margin as well in the quarter is higher fuel costs. We use a lot of fuel. And as everybody knows the cost of fuel has gone up considerably as well. So...
Jeff Edwards: I’m glad Michael added supply disruptions again on top of inflation because, I mean, the dollar amounts that we associate with and kind of disclose around buying out of nonnormal channels, meaning either retailers or out of distribution, that’s just what that is exactly that. And it doesn’t count times where we’ve maybe been forced to go maybe direct, but to a different supplier because there’s a supply chain issue with our predominant supplier that, again, because you’re there at their doorstep with a day’s notice, the price is not the same.
Mike Rehaut: Right. No, I appreciate that. I guess just you mentioned, Michael, the price/mix turning positive and seeing strength into 4Q. Any types of thoughts around how we should think about 4Q gross margins given that, that trend in price/mix may be strengthening, also you’re seeing the headwind of the retail purchases lessening a little bit. Should we still be looking for a gross margin on a year-over-year basis that would be down, but maybe less so than the 70 bps of 3Q? Could it turn positive? Any type of directional guidance on a year-over-year or sequential basis would be helpful.
Michael Miller: Yes, Mike, as you know, we don’t provide guidance. Obviously, any positive momentum that we continue to have on price/mix is constructive. But I would say that the inflationary environment continues to be sort of unprecedented, quite frankly. So obviously, that weighs on the price/mix improvements that we’re seeing. I would say though that we ended the quarter in September with a fairly solid inventory position. And I would say that the supply chain disruptions that we experienced in the beginning of the quarter did slowly abate. They were still there, and we expect them to continue into ‘22. But they definitely improved and have been improving, particularly since July and August.
Jeff Edwards: That’s what Mike has commented about is primarily related to fiberglass, which obviously is large, large portion of what we do, but we still -- the foam supply market and chain is still struggling.
Michael Miller: Yes.
Jeff Edwards: As an industry.
Michael Miller: It’s actually remarkable how struggling it is.
Mike Rehaut: But it sounds like from that comment that if your inventory position has maybe further solidified and supply chain disruptions lessening that $2 million headwind that was closer to $3 million in the second quarter, could continue to decline in the fourth quarter. Is that fair?
Michael Miller: Well, I think back to Jeff’s answer to your first question is -- I mean, we would and that we’re expecting that those purchases out of distribution and retail will be mitigated in the fourth quarter. But what’s not included in that number, which is extremely important is the inflation that we’re seeing in products that we’re buying direct from distribution -- or excuse me, direct from the manufacturers, whether that be spray foam, aluminum or gutter coil, garage doors and fiberglass. So as I think everyone knows, there’s a fiberglass price increase out there. So there’s definitely continues to be, I would say, an unprecedented level and frequency of inflation in the market right now.
Operator: And our next question comes from the line of Susan Maklari with Goldman Sachs.
Susan Maklari: And my first question is, obviously, the builders have had a lot of headwinds and the big -- 3 big builders have taken down their closings guide for this year. Can you just talk about the volume trends that you’re seeing on the ground? And any color on how you’re thinking about the backlogs into the end of this year and then through maybe early 2022?
Michael Miller: Yes, this is Michael. I mean the backlogs are obviously at -- as everyone knows, are at cycle highs. I mean it’s incredible that the authorized-but-not-started number is up 40% from last year. As you know, basically, completions in the quarter were, in essence, sort of flat and starts were up 20%. So the backlog just continues to build. I would say that the building products chain continues to see supply disruptions and material disruptions as well as labor issues. Fortunately for us as a company, the labor situation has been pretty solid for us. But as we’ve talked about in both our prepared remarks as well as the answer to Mike’s question, supply, as really where’s been the challenge for us is getting enough supply, getting to levels that were -- we would expect, given the current demand environment, as well as getting it at the pricing that we would expect as well. So it’s a challenge that we’re working to meet, but it clearly is an extremely strong volume demand environment, and we expect just given the length of the backlogs and the increase in cycle times that it will continue well into ‘22.
Susan Maklari: Okay. That’s helpful. And kind of building on that, you mentioned labor and that’s been a really big topic lately, obviously. You’ve done a lot around labor and putting in very specific programs over the last several years. Can you talk a little bit about labor position, how you’re thinking about it? And the relative advantages maybe that you’re seeing from that, that are allowing you to incrementally gain further share in this kind of environment.
Jeff Edwards: Yes. So we still feel pretty good about our labor position. I mean we’ve struggled like everyone else in terms of getting new applicants in the door for sure, during the period of time where there was a lot of federal state money floating around. And now that, that’s over almost everywhere, hopefully, that trend starts to change, and we can get a continual supply of people coming through the front door. We -- from a retention and productivity perspective, we still feel good. We’re clearly in a position to be able to kind of continue to do what we’ve been doing as it relates to market opportunity. And turnover, again, remains, we believe, quite a bit below industry averages. So it’s still working in our favor.
Michael Miller: Yes. And I think one of the things that I would point to is that our residential same-branch sales growth, so organic sales growth, was up basically 15% in the quarter, and you need to size up with the labor force to get that done. And we’ve been able to very effectively do that. It’s not as if it’s easy. But it’s a lot easier to source labor than it is to source material right now.
Jeff Edwards: I didn’t mean to imply to -- I mean there’s definitely wage pressure. We know that, right? I mean, and it’s -- there is the occasional installer now that, let’s say, decides to go work for Amazon for $28 an hour, but it’s very infrequent. And what we’re doing is we’re making sure that we’re taking care -- in this environment where those kinds of jobs are available, we’re making sure that we’re taking care of our installers.
Michael Miller: Yes. But the issues that we face on a margin perspective are not on labor efficiency.
Jeff Edwards: No.
Operator: Our next question comes from the line of Stephen Kim with Evercore ISI.
Joe Ahlersmeyer: This is Joe Ahlersmeyer on for Steve. Just first, should we expect that the mix normalization that you’ve seen now in the back half, should that continue in the first half of next year? Or does that growing backlog of residential builder activity indicate that you could once again over-index to those builders in the first couple of quarters. And then assuming that we can make our own volume and price assumptions, I just want to follow up on Mike’s question from earlier, we should sort of know what the volume and price/mix impacts were for the first half of this year. Would you mind just maybe calling those out so we can be mindful of that lapping as we look at the front half.
Michael Miller: So on the mix headwinds from production builders and other products, we would expect that -- or I would say that within the third quarter and really the second half, the headwind, which is mitigated, and mitigated significantly in the second half of this year, we would expect that trend to continue into ‘22. That being said, we still are seeing higher growth rates and would expect to continue to see higher growth rates in the first half of ‘22 from production builders. It’s just not the delta in that growth rate relative to our other builders, is not a time. And as a consequence, the mix headwind is a little bit lighter. In terms of -- I’m not sure the second part of your question about what the price/mix and volume was during the year. But so for the 9 months, price/mix growth was basically flat and volume was up 10%. And in the quarter, it was up 5% on volume and about 7% on price/mix. But was that your question?
Joe Ahlersmeyer: I guess it was more -- you knew you had a headwind in the first couple of quarters of this year on the price/mix because you were having those greater job numbers within the volume. I guess if the mix has normalized and you’re then going to be lapping that greater mix of production from ‘21, that should sort of distort your volume and price/mix that you’ll report in the first half of the next year.
Michael Miller: Yes. I think the comparison to both volumes -- again, the headwind that we experienced in the first half of this year as it relates to mix is mitigated in the back half of this year and will continue to be sort of at a more stabilized level in the first half of next year.
Joe Ahlersmeyer: Okay. Okay. That’s helpful. And then just quickly on the commercial business. You talked about timing. Is that a reference to delays maybe in other building products ahead of you in the process? And would you then have already seen those delayed projects realized in your P&L for October, similar to what we’ve heard from other -- well, I guess, from manufacturers that sell into commercial projects.
Michael Miller: Yes, the timing delay is a combination of the trades that come before us, and also just projects taking longer than I think a lot of the GCs would have expected. I would say that all of that has not unwound for sure, in October. We expect that it’s going to continue to unwind in the fourth quarter as well as into ‘22, depending on the project. I do think it’s important to point out though, when we disclose our large commercial same-brand sales growth, it excludes high-rise or large commercial multifamily. That’s in the multifamily numbers that we disclose. If you incorporated the large commercial multifamily sales growth on a same-branch basis within the large commercial organic number, sales for the large commercial business would have been up on an organic basis, again, over 7%. So we feel good about what that business is doing, but there’s definitely -- there’s no doubt that it’s facing more challenges, if you will, than the residential side of the business. But our backlogs are good there. They’re up double digits from last year. And we’re continuing to see good, both, bidding activity and bidding acceptance there.
Operator: Our next question comes from the line of Adam Baumgarten with Zelman & Associates.
Adam Baumgarten: Just trying to think about sort of industry manufacturing capacity versus your ability to get supply. I mean it’s our understanding that the industry can supply about 1.5 million starts, and we’re now trending from a completions perspective below that. So I guess, help us square that your ability -- over your difficult ability to get installation in an environment where on-the-ground demand is actually lower than overall capacity for the manufacturers.
Jeff Edwards: Well, what I would say is that as a result of 2020 and kind of the slowdown of production and actually turning the furnaces down and the spinners down, right after COVID when nobody knew what was going to happen, that was a shock to the system in terms of -- and then sales to the contractor, sales to the builder and the actual work did not slow down at all. So it takes a long time, I think, for the industry to recover from kind of going to the point where the coverage were there in terms of inventory and mixing stock. And that’s what’s taken a long period of time to build back up. I think based on where we are with our suppliers and kind of based on our ability to now build inventory, I think they’re finally getting on top of it to a degree. And a lot of times, it’s a product mix. I mean it’s not that there’s not enough glass out there per se or pounds out there. In a lot of cases where we’ve gone to distribution or we’ve gone to retail. It was for a single specific project -- product in little quantities. It was a big -- for the most part, major full trailer loads of one of your standard products. So -- and then there was logistical issues, too, in terms of filling loads and trucking and other things like that. But I think it’s getting better and, I guess, it won’t be the same. But that -- I understand why you would ask that question because if you’re at 1.368 million or whatever the number is, that’s something short of 1.4 million and in the industry says they can do 1.5 million, that’s a logical question to ask, and I guess that’s where I think we are.
Michael Miller: Yes, I think it’s -- the fiberglass supply chain, I would say, has improved faster than we thought it was going to where the other supply chains for things like spray foam and provide stores and other things have gotten worse, and we expected them to get better .
Jeff Edwards: Well, the other thing that’s happening is that in those other industries and even sometimes inside of fiberglass, they’re making -- the manufacturers are making decisions because things are tight everywhere of what industry to sell the product that they make if it’s got multiple uses, what industry to sell it into where they get a higher price.
Michael Miller: Yes. I mean some of the capacity that’s coming online and some of the announced -- recently announced new capacity that’s coming online. We believe all of that is obviously very constructive for the industry and it’s a very strong sign from the manufacturers that they’re willing to invest very significant sums of money to bring on new capacity, I think it’s extremely constructive.
Adam Baumgarten: Got it. And then just going back to maybe earlier in the year when you guys were a bit more skeptical on industry growth, at least with the builders, we’re kind of putting out there earlier in the year, and that’s since kind of corrected a bit closer to where you guys initially were. I guess as we look out to next year with some of the supply from manufacturers improving a little bit and maybe some of the constraints across the industry easing. Any thoughts on the industry’s ability to grow next year similar to maybe this year? Or what are the puts and takes you kind of see as you look out today?
Michael Miller: Honestly, so much of it is going to depend upon the supply chain and the supply chain getting in a more stabilized position. From what we can tell, it feels as if that’s going to happen in ‘22. It might not be until the back half of ‘22. So we think that allows the industry to -- if you -- this year, if you assume completions growth is a little bit better than the year-to-date sort of 6%, maybe it gets to a little bit higher single-digits. It seems plausible that with the supply chain getting back to a more normal cadence that we could definitely see low double-digit growth next year in completions.
Operator: Next question comes from the line of Mike Dahl with RBC Capital Markets.
Chris Kalata: This is Chris Kalata on for Mike. Going back to the gross margin dynamics this quarter. Obviously, it sounds like mix is improving and the headwinds from sourcing products from alternative channels is diminishing. But I guess from a core price cost perspective, how much progress have you guys made this quarter? And what’s your outlook on 4Q in terms of raising traditional pricing over your inflation?
Michael Miller: Obviously, it’s our objective to raise prices above the inflationary pressure that we’re seeing on the material side. But it is one of those things that -- given just that, and I’m not speaking necessarily about fiberglass here because the fiberglass manufacturers have continued to give pretty decent notice of when they announce a price increase and when it becomes effective, I would say the rest of the materials that we buy does not fall in that category, and there have been many instances where we’ve received price increases the same day that they’re effective. And I would say to you that it is -- it’s very difficult to raise a price on something that you’re installing that day or next week. So there’s definitely some compression there that we’re seeing, and we’re working hard to get on top of. But -- it definitely -- there’s no doubt about it that it’s a challenge. Our team, we believe, is doing an excellent job trying to stay on top of it, but it is definitely a constant challenge.
Jeff Edwards: Well, I mean the overarching comment would be that we feel good about getting price and about kind of improving in that regard. But as I’ve said, every time we’ve had a conversation about raising prices, it’s -- if you stand back a mile away and look at it, it looks smooth, like it’s a smooth upward trend. But what I can tell you, if you look closely is that it’s a very -- I’ve said like the times on a saw. I mean it’s a little uglier than that getting to that point. And so you -- and to Michael’s point, that’s mostly the reason and fiberglass is fine. I mean it’s relatively easy for us to perform in that regard because we do get such long notice in advance, and you can set a builder up for that and have good constructive conversations with them about it, and they can do the same with buyers in price of the home, et cetera. but it’s all the other instances on the other product, I mean is, quite frankly, that are the ones that are kind of tough to swallow, and you get chewed up a little bit for a great period of time.
Chris Kalata: Understood. Appreciate the color there. And just switching over to the commercial outlook for next quarter. Should -- where you sit today and given what you’re seeing in your backlogs, are you expecting kind of similar types of same-store declines as you saw this quarter?
Michael Miller: Yes, this is Michael. So again, as you know, we don’t provide guidance, but we’re feeling constructive about that business. And as I said in answer to an earlier question, based off, including the multifamily high-rise large commercial work in our large commercial business, sales in the quarter would have been up a little over 7%. So we feel good that, that business is continuing to make forward progress. And as I said, the backlogs and bidding activity is good. It’s solid. And yes, we’re -- we continue to be encouraged. Clearly, it is not the growth rates that we’re seeing in the residential side of the business right now, and believe that will continue. But it definitely has good medium- and long-term prospects.
Operator: And our next question comes from the line of Noah Merkousko with Stephens, Inc.
Noah Merkousko: So yes, it’s been said, strong pricing in the quarter. It sounds like there’s some manufacturing capacity coming on later this year, early next year. But I guess at a high level, it still sounds like the supply/demand dynamic will be similar for next year. If that’s the case, in terms of frequency and magnitude, what are you expecting from the manufacturers on price increases?
Michael Miller: On the fiberglass side. I mean there’s already a price increase in essence announced for ‘22, right, because it’s December/January. Given the early timing associated with the one for this year, I mean, I think you could see another 3 price increase announcements for a total of 4 for the year.
Jeff Edwards: Or at least 3 total. Even though we used to say that more than 2 was relatively unprecedented.
Noah Merkousko: Yes. got you. That’s helpful. And then...
Michael Miller: But I mean -- just -- I’m sorry to just follow up on that question because I think this is a very important point that Jeff made in answering the last question is that the fiberglass manufacturers continue to give us advanced notice. And that advanced notice is critical to us getting a better matching of the price inflation or material inflation and selling price increases as it relates to fiberglass. The other product manufacturers they’re not doing as good a job, particularly on the spray foam side of being able to give us that kind of forward look into what pricing will look like. And that’s where the more of the challenge comes in.
Jeff Edwards: I mean to go to back to a statement, we said probably on every call we’ve ever been on, and that is the rising price environment is a good thing, not a bad thing. Now is it tiresome and you have to fight the battle every day, Yes. But a rising price environment is still a good thing.
Noah Merkousko: Yes. That’s helpful. And then for my follow-up, the organic incremental EBITDA margins have been running a little lower than your target range so far this year. I know there’s some tough comps there, but for next year, do you think that 20% to 25% is a good bogey?
Michael Miller: Yes. I mean we believe that on a full year basis, obviously, this year is going to be difficult as it relates to 20% to 25%. But on a full year basis, the 20% to 25% still absolutely makes sense. I mean obviously, the critical component to getting there is a smooth supply chain that has a much better cadence and less frequency of price increases and also sufficient material to meet the demand that’s out there. And this -- I think this is obvious to everyone on the call and based on our comments, I mean, for us, this has been a material supply issue. And -- but everything else, whether it be labor or other costs with the exception of fuel, have really been not what is causing us the same kind of issues that we have on the material side.
Operator: Our next question comes from the line of Phil Ng with Jefferies.
Maggie Grady: It’s Maggie on for Phil. I guess, first, when you look at your volumes this quarter, well ahead of completions, what are some of the areas of strength where you feel you’re outperforming the market.
Michael Miller: I mean I think we’re outperforming the market with pretty much all of our customers relative -- and particularly on the multifamily side. And I would say, in a large part, even though the mix headwind from the production builders has mitigated. We’re still seeing very, very strong sales growth within the production builders. And I think we’re continuing to do very well relative to the overall market. And I think that’s a reflection of the quality of service that we’re providing.
Maggie Grady: Okay. Got it. And then I know we’ve talked a lot about fiberglass supply, and we do have some incremental supply coming on in the next few quarters. But how are you thinking about supply chains normalizing for some of the other products you mentioned like spray foam and garage doors that you’re also seeing challenges with this year.
Michael Miller: The other products, like as I said earlier, we would have expected that they would have normalized by now, but they’re just continuing to have significant issues. And as a consequence, now we would expect that those supply chains don’t normalize until the back half of next year.
Jeff Edwards: I’d say in one word, murky, really.
Michael Miller: Yes.
Jeff Edwards: Because even when we’re told it by a supplier that they’ve got something figured out or straightened around, it usually hasn’t worked out. At least the way they had described to us that it would.
Michael Miller: Yes.
Operator: Our next question comes from the line of Dennis Clemente  with Truist.
Unidentified Analyst: This is Dennis Clemente  in for Keith Hughes. So just to touch briefly on multifamily same-branch sales growth, it looks like there was actually quite a bit of an acceleration this quarter against -- even though it was like a slightly easier -- a slightly easier bit of a challenging comp from the prior year than last quarter. And I think you mentioned there was a tailwind from high-rise growth. And I was curious as to whether you anticipate this tailwind lasting into 4Q or even into 2022?
Michael Miller: Yes. We continue to feel good about the multifamily same branch and multifamily overall sales growth. Our backlogs continue to be very strong in that business. I think some of the challenges we faced earlier in the year on a same-branch basis with multifamily has to do with material supply issues and material supply constraints. And I think as you’re seeing that in even in the Census Bureau information, just looking at the weakness in completions recently on the multifamily side. So -- we feel good about that. We -- there’s certainly a tremendous amount of demand on the multifamily side and backlogs there are very -- are elevated. And I would say that our backlogs are elevated at a higher level than the overall market, as we continue to make -- take market share in multifamily.
Unidentified Analyst: Great. Very helpful. And then just one other one. If you could just comment on just the M&A pipeline for installers. Where do you see valuations at this current point in time? Do you feel like they’re running above, below or at your current expectations?
Jeff Edwards: They’re not inconsistent at all by any means or in any real substantive way, I suppose, on average from what we’ve historically paid, they’ve been maybe up a little bit. And I think, honestly, our expectation probably is that they would be up a little bit in this environment. So really, it’s pretty much the same thing. So...
Michael Miller: And I would say the pipeline is very robust. We’ve had a very robust year. We’ve acquired almost a little over $130 million of revenue so far and we don’t think we’re done for the year.
Operator: Our next question comes from the line of Ken Zener with KeyBanc Capital Management.
Ken Zener: Jeff, I wonder if we could just take a step back here. I mean kind of like the best of times and the worst of times in the sense that demand’s high, supply is tight. And I’m just thinking about -- you’ve talked about -- everyone is obviously focused on the incrementals, assuming you can’t recover your freight, input cost effectively. And you’re calling that out as it relates to the hard materials for fiberglass. But it seems the message today has been more -- or if you could quantify it, I mean, it’s not just fiberglass, right? It’s the steel items. It’s other items that you can’t get that visibility on. So I guess my first question is, as this is unfolding, is that change how you think about these total take, if you will, the process that you’ve been pursuing in terms of ancillary products? And does that -- how is that changing your bidding as it -- as you plan to next year, realizing we don’t expect these bottlenecks to shift any time soon. And you have a lot of bids that you need to lay out for the next year, right, if that’s still going to indicate or how are you changing your behavior?
Jeff Edwards: Well, it definitely does not -- the environment does not change kind of our 20-some-year-old strategy. And we still believe that’s absolutely the right course to pursue. And I guess another blanket stable would be that all things come to pass. And so we have always -- I mean realizing that we have to get on the phone once a quarter, right, and talk about what happened in that prior quarter. We’re still running a marathon. Honestly, in the long haul and our strategy, we think, is still the right strategy to pursue. And again, maybe not on a quarter-to-quarter basis, but ultimately, even a rising price environment on those other products is something that we can get on top of. It’s a little bumpy getting on top of it sometimes because of the lack of notice or some other relative calamity that ends up in your laps from a supply perspective. But ultimately, we will get on top of it. And they’re very much contributory in terms of both take per house and then ultimately, as we’ve said on a lot of calls before, too, from kind of a net margin perspective. They end up kind of being good products for us to install like everything else, like fiberglass and are basically main insulation products.
Ken Zener: Right. And I guess I was looking maybe a little more, and I get the marathon versus the quarter. I’m just wondering if, right, with these inflationary pressures still persisting. And obviously, everyone focuses on the fiberglass side for all sorts of reasons. But it sounds as though your net -- if we think about net pricing, it sounds like you’re actually behind on net pricing more in the other products than fiberglass. Is that a proper interpretation of your comments about inflation visibility?
Jeff Edwards: Yes, I would agree. And that is a proper interpretation. And as much as you’d like to have it as sales -- I mean let’s say, we are a profit-driven business, right, on purpose. And we don’t really talk about sales with managers, et cetera, with regional presence. We talk about profitability. And as much as you’d like to convince a salesperson to look into a crystal ball about where material pricing is going to be and therefore, what the selling price needs to be in the future, when that future is murky and unknown, it’s not a terribly -- even though -- even with encouragement, you want them to do that, you still -- you’re sitting there doing margin calculations and kind of net profit around individual jobs. And without the insight into exactly what’s going to happen, it’s harder to get on top of that, right? I mean that’s the reality.
Operator: And we have reached the end of the question-and-answer session. I’ll now turn the call back over to Jeff Edwards for closing remarks.
Jeff Edwards: Thank you for your questions, and I look forward to our next quarterly call. Thank you.
Operator: And this concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation.